Giorgio Iannella: Hello, everybody. This is Giorgio Iannella from the IR team. Thank you for joining EssilorLuxottica H1 2024 Results Management Call. The Group’s Chairman and CEO, Francesco Milleri; the Deputy CEO, Paul du Saillant; and the CFO, Stefano Grassi will walk you through the business and financial highlights for the period. After their presentations, there will be a Q&A session. [Operator Instructions] With that, I hand it over to Francesco.
Francesco Milleri: Welcome, everybody. Good to see so many of you connected today for the EssilorLuxottica first semester earnings call. I am pleased to introduce our sound financial performance and give you an update on our key strategic initiatives. In the first 6 months of the year, we posted revenue growth in line with the long-term targets with the two quarter well aligned in their performance and the operating margin in sound progression. That leaves us fully confident to deliver on our 5-year targets. Stefano will elaborate on that. I just like to emphasize here the solidity of our growth path since 2021 on both revenue and margins always translating into strong cash flows. While we will execute our strategy in the core business of eye care and eyewear, we played the role of a frontrunner in the technological revolution of the industry. The combination of Essilor, Luxottica and GrandVision into one single stronger group was just the first step. Now we are at work to make a second much bolder move, bringing our group into the promising future of wearable and the AI-based face computing. We’ll bring together digital platform, portfolio of new applications ranging from eye care, hearing aid, predictive advanced diagnostic to gaming, sports and entertainment. In that direction, Ray-Ban Meta continued to be a great success, upgrading product quality, adding new functionalities and accelerating growth sales. At the start of its journey, Ray-Ban Meta already sold more the Ray-Ban story in its entire life. We strongly believe we are just at the beginning of a revolution, which will combine technology with design and branding and deeply reshape many industries converging on our wearable unique platform. One of the key engine of such a revolution is our long-term partnership with Meta, making our proposition in new generation of eyewear more and more powerful. Nuance Audio is part of the same vision. Over the past year, we have made significant progress in developing the new technology, fine-tuning the product and collecting supportive clinical evidence from extensive research and top quality tests. We continue to present the product to end user and potential customer, gathering a great deal of interest. At the launch, we will be ready with presentation tools and store product corners to support the sales of Nuance Audio in third-party optical and audiological location together with our own stores. Based on the high potential of our product, we have decided to proceed with the submission with the FDA in order to ensure that our product meets the highest standard of safety and efficacy. Being fully respectful of FDA procedure, we still target the end of the year for the launch of Nuance Audio in the U.S. market. The two acquisitions we announced last week, the leading diagnostic med-tech platform, Heidelberg Engineering from Germany, and the iconic Supreme brand from the U.S. coast are fully in line with our strategy, as they respectively bring to EssilorLuxottica strong capabilities in the ophthalmic applications and one of the most iconic brands among the youth. Starting from Heidelberg Engineering, on which Paul will elaborate further, I want to highlight that the German group founded in 1990, is a leading innovator in eye diagnostic imaging and healthcare IT solutions for ophthalmology with a unique portfolio of patents and applications into EssilorLuxottica’s ecosystem, including HELIX new digital division, Heidelberg will bring opportunity in different areas like R&D, optometry, healthcare, IT, big data and AI. As for Supreme. Started in 1994 in New York City, that is really a leading iconic brand, the most authentic and desired brand for the new generations fully direct to consumer, with an aura of exclusivity and scarcity around its product offering, offer release in limited units. Such a community is loyal to the brand thus offering EssilorLuxottica an access to an audience that is untapped by its current brand portfolio. Well beyond the strong position in apparel, we are acquiring a unique communication platform to address young consumer, nice retail point offering a superior in-store experience are part of such identity. Supreme directly operates 17 well-performing stores in big city worldwide with a strong penetration in China and the other Asian markets. In a much more fluid landscape with different business in the industry converging and mixing each other, brands will matter even more than ever. We see brands as the necessary support for the diffusion of innovations in wearable and digital platform, the necessary culture vehicle to push our disruptive view of the future. Last but not least, Supreme acquisition will be accretive on our margin. With that, I hand over to Paul. Thank you.
Paul du Saillant: Thank you, Francesco and good morning, good evening to you all. It’s a pleasure like always to be here with you. Today, as you have heard, we are presenting solid first half results. We are very thankful to all our colleagues for the hard work they have put into delivering them. Before digging a little bit deeper into the acquisition of Heidelberg Engineering, I would like to emphasize three messages. First, our core activity is in strong shape. In a context, that is complex our teams are deeply focused on the execution of our strategic priorities. In the last month, we have consolidated our organization, developing our leaders and preparing the generation of tomorrow at all levels. Our flat and agile structure is nurturing the entrepreneurial spirit of our company. Second, our innovation dynamism remains unparalleled. Just think about how rich our pipeline has been in recent times. And the tangible impact it has already made to our growth, Stellest, Varilux XR, Transition Gen S, Ray-Ban Meta, Ray-Ban Change, the new licenses, Swarovski, Jimmy Chou, Brunello Cucinelli, Perry, Moncler and now GSL. It is truly inspiring. We have talked about them already during our last call. So today, I would like to just touch upon two of our iconic brands and categories, Stellest and Oakley. We have recently released our 5-year clinical trial findings for Stellest at the ARVO Annual Meeting in Seattle. The data shows that the lenses are effective in slowing down the myopia progression and axial elongation saving 1.75 of diopters on average over 5 years. The confirmation of the strong results over an extended time horizon really proves how impactful our technology is. More than 1 million children have been equipped with Stellest in the first half. A lot is going on at Oakley. And on top, they are preparing for the Olympics starting tomorrow in Paris. The brand is buzzing with excitement for this huge sporting event and [indiscernible] to host its team Oakley athletes. Oakley will be outfitting the U.S. surfing team with a super cool collection of functional offshore apparel and eyewear. The brand has also just dropped the new special Inner Spark frame collection, drawing attention to the deep emotions that athletes go through when competing. Check it out. Third, we are preparing for the future in a bold way, with industry transforming initiatives as we have heard from Francesco and a clear focus on sustainability, where we are advancing well on our agenda with concrete actions. We have just announced that by 2025 we will create a 25 hectares solar farm close to our Italian Barberini manufacturing site, able to produce approximately 30,000 megawatt of the renewable energy per year, an equivalent of the annual electricity consumption of approximately 10,000 families. And we have recently submitted our near-term emission reduction targets to the SBTi for approval. Our initiatives so far have led to an improvement in major sustainability rankings, such as MSCI, ESG, Sustainalytics and Moody’s. Now, I would like to focus on Heidelberg Engineering. This is clearly a leap forward in stepping up the capabilities of EssilorLuxottica in the med-tech space, through building a complete spectrum of eye care solutions from routine exam to advanced diagnostics, combined with AI capabilities. With Heidelberg Engineering and their teams, we are bringing great expertise, cutting-edge technology and a globally renowned brand into the EssilorLuxottica family. Their advanced solution in the field of diagnostic imaging, digital surgical microscopes and healthcare IT solutions empower ophthalmologists to detect, diagnose and monitor eye disease at an early stage. The Spectralis device is widely recognized as the Gold standard in ophthalmic imaging and has also been chosen by the NASA to monitor the vision of astronauts above the ISS. Heidelberg Engineering is known for its powerful R&D capabilities and contribution to sight-saving scientific research. They are also actively integrating small and innovative companies to foster the development of new projects, values that are very much aligned with the one of our company. With this move, we enter the space of clinical ophthalmology, which will allow us to upgrade our offering and expand our scientific programs. And now I will hand it over to Stefano who will run you through the financial performance. Thank you.
Stefano Grassi: Thank you, Paul and welcome to our first half earnings release. As usual, we start our journey on the financial, commenting first our revenue results and then I will move to the P&L and the free cash flow generation. During the course of the second quarter, EssilorLuxottica delivered a top line, up 5.2% at constant currency, a cruise speed that is very much aligned with our long-term guidance. Despite the environment, we are surrounded is uncertain, in particular, in our main market, the U.S. one. When we look at our growth at current exchange rates, our top line was up 3.8%. So the gap between constant and current exchange result is narrowing during the course of second quarter, and I would say it’s mainly driven by some minor currencies. Both professional solutions and direct-to-consumer deliver a mid-single-digit quarter, posting a solid growth pretty much in every region. That’s always a pretty important priority for us, making sure that our delivery is pretty balanced across the geographies and within each geography across the two distribution channel. But now as usual, let me walk through the first geography in pie and that is North America that posted during the course of the second quarter, the top line up 1.4%. I would say both division, professional solutions and direct-to-consumer delivered a low single-digit quarter. In the B2B division, we experienced a deceleration independent channel with a pretty polarized picture. On one side, we had our ECP that are not part of our strategic partnerships that were negative in the second quarter in a market that was still very competitive, still very price sensitive, especially on the lower price points. While our strategic alliances and I would probably mention here, Vision Source grew on a high single-digit territory. If we look at the other channel now, the key accounts were in the positive territory during the course of Q2. Our e-commerce partner or department stores that both performed well with a double-digit delivery. Moving to price/mix. Well, price/mix during Q2 was the primary driver of our growth on the lens business, especially thanks to Varilux, Eyezen and Shamir. While for the frame side, we see a more balanced growth between volume and price mix with double digit in Ray-Ban Meta that very much supported the growth of Ray-Ban brand. On the licensing side, I would probably mention a good start for the first half of the year of our Swarovski license in North America. And now, let’s give a quick touch on direct-to-consumer. Our optical retail banner delivered another solid quarter. LensCrafters, Target Optical, they were in low single-digit comps while Pearle Vision delivered a mid-single-digit comp during the course of the second quarter, proving once again the resilience of our optical retail business in North America. I will make a last touch now on retail sun that deliver a low single-digit negative comps. Here, let me say we have no indication of a materially different trend between what we’ve seen in Q2 and the previous quarters. If I look at my glass half full for a second, I can tell you that the Sunglass Hut locations, the one that we’re more exposed to touristic traffic actually performed well with comps on the positive territory during the course of Q2. But now let’s switch gears. Let’s move to EMEA. EMEA that delivered an outstanding quarter, I would say, another outstanding quarter. 7.9% top line growth in the second quarter, the 13th consecutive quarter of top line growth in the EMEA region. And we really, for the EMEA, there are 3 areas on which I would focus. First of all, our B2B business that continues to be strong quarter after quarter in both lenses and frames. In all the main geographies, we saw solid growth in France, in Italy, in Spain, in the U.K., in Turkey, in Eastern Europe, in South Africa and Middle East, and I’m sorry for a long number of countries. But just to give you an idea of how strong was our delivery in the region. Lenses business were positive, thanks to our branded lens portfolio with Varilux, with Stellest, with Eyezen, they all perform at double-digit pace. And on the frame side, we delivered double-digit growth on the Oakley brand. But now with the upcoming Olympics game in Paris, we’ll get more and more visibility, thanks to our athletes that are going to compete every day to win the gold medal. The second important pillar is our optical retail business that delivered double-digit growth with high speed in synergy realization in both lenses and frames assortment, with a deeper penetration of the subscription model that is now running in 18 countries in Europe and represents a third of the growth of optical retail in the region. With the teletometry that is also now available in over 350 stores and with the celebration of two successful flagship stores like the [indiscernible] on Grand Optical that some of you visited at the end of May and the other one in Oxford Street for Vision Express that had a lot of visibility in the news. The third important pillar is our sun retail business. Here, we suffer lack of good weather in Europe. And I would say that, that was particularly true in the peak month like June, where we will normally generate 40% of the revenue of the quarter. Anyway, our sun during the course of the second quarter was just a touch below mid-single digit with positive delivery in Italy and Spain. And in my view, this performance proves once again the strength of our Sunglass Hut business model outside the U.S. Now the third region, moving to East is Asia Pacific, a strong quarter, the best performing growth in the 3 – of the 4 regions and 9.8% at constant currency. This delivery comes on top of the best quarter for Asia Pacific in 2023, where I remind you, our top line grew 24% at constant currency. In the region, Mainland China and Japan delivered a double-digit growth. All the other key countries were under positive territory. Stellest, I usually talk about it every time because I think it’s an outstanding and impressive story of growth grew in excess of 80%, but also Varilux and Eyezen started to deliver solid growth with a double-digit pace. On the frames side, I would probably mention here, again, Oakley. Oakley is gaining more visibility with the Chinese consumer. Oakley is gaining more awareness, and I think this is obviously very important and very rewarding for us and for the brand. If we move for a second now to the direct-to-consumer, I mentioned mid-single-digit comps in OPSM, where we’re observing an improved conversion, a better price mix. While on the other side, in Hong Kong, our retail business continues to struggle as we experienced soft comps throughout the quarter, and that is very much due to a lower touristic traffic in the city. Now the last region in the pipeline is Latin America, 8.6% top line growth at constant currency. I would say, in the top line, we have a material help coming from the inflationary impact of Argentina. We also need to mention that the largest country in the region, Brazil suffered between the end of April and the month of May, the dramatic consequence of the floating in the region called Rio do Sul. You probably – many of you have seen the terrible picture of the situation in that region. We had about 1,800 doors that we serve as a client on the B2B side that were impacted. We have slightly less than 100 stores between corporate-owned stores and franchising stores that were impacted and we are now everyday working next to our clients with our store to resume their day-to-day operations. Despite that, the performance in Brazil were slightly positive with the B2B frames that were at double-digit pace, and while on the other side, the Direct to Consumer, we had double-digit comp in sun as well as in [indiscernible]. So overall, a pretty compelling picture for Brazil despite the major challenge in a specific region in the southern part of the country. If we move now for a second to the Direct to Consumer in the Hispanic LatAm region, I would like, once again, strong delivery of the formerly known GrandVision banner, in particular, the one that are Nicaragua, in Costa Rica, in Andes, in Mexico and Honduras, they all posted solid growth, and that was very much driven by price mix, thanks to a strategic realistic view of the assortment in the region for both lenses and frames that is obviously paying back. We closed out the journey across the four different regions, and now let’s face and introduce a new chapter. That is the profit and loss. And moving to the profit and loss, as usual, I will focus more on the constant currency results. Our gross margin, as you can see, is 40 basis points accretive compared to 2023. That’s obviously a very pleasing result for our P&L. It’s very much the result of a stronger mix effect and couple that with the price increase that we executed throughout the year, throughout the beginning of 2024 in both lenses and frames. Those tailwinds, price/mix are largely offsetting the headwinds coming from the insurance claim costs and also the strategic investment that we are making on our manufacturing infrastructure. If we move now to the OpEx side, we’re successfully balancing here the investments on the new license, the incremental spending for Transition Gen S, while on the other side, we keep our G&A cost under severe control. In all of this translate in a 50 basis point margin accretion at our operating profit on an adjusted basis, while our net income on an adjusted basis expanded 60 basis points at constant currency with a double-digit growth, thanks to a slightly favorable compared to last year tax rate. Now I want to go to the last slide for the P&L, and it’s a margin bridge. A margin bridge that I’m sure you are familiar with because it’s exactly the same that we show you at the end of 2023, early ‘24, to comment last year results. As you can see here, you have the major building blocks, inflation, operational efficiency and strategic investment. And one by one, I will give you just a few highlights to make you understand what’s driving our operating profit improvement year-over-year. As expected, the inflationary impact is still there. It’s still material, and it’s fairly close to what we experienced during the second part of 2023. And for the vast majority, I would say, it’s related to the labor cost. On the positive side, you see 280 basis points of our operating efficiencies and price mix. That’s very important. We already commented the results and the delivery of GrandVision synergies. The operating leverage of our business unit, and again, our price mix dynamic, all of this playing in our favor and give us an even greater basis points accretion compared to the one, that we commented last year. If you remember, in 2023, this building block was 270 basis points accretion. But with the top line, they grew 7%, now our top line is more around 5%, and our accretion is actually improved compared to 2023. The last pillar before the foreign exchange is represented by the strategic investments. The strategic investment accounted for about 60 basis points and are distributed between the product innovation of Ray-Ban, the upcoming Nuance Audio hearing aids, the digital investments in our platforms and last but not least, the investment in our portfolio. All of this is translating into 50 basis points margin accretion at constant currency, clearly, a material acceleration from the 10 basis points that we commented for the full year 2023. And the last chapter of our journey today, it’s represented by the free cash flow and the net debt. There are really two messages that I want to convey to you. First of all, €971 million free cash flow generation, approximately €20 million more than the free cash flow that we generated in 2023 in the first half, and that despite the currency headwinds. The second message is that we have a strong balance sheet. Our net debt-to-EBITDA ratio is 1.5 and that gave us proper room to execute the two M&A transactions that were well described before by Francesco and Paul. And now as usual, let me hand it over to the operator for the Q&A session. Thank you.
Operator: [Operator Instructions] Our question comes from Chiara Battistini, JPMorgan.
Chiara Battistini: Good morning, and good evening. Thank you very much for taking my questions. I have two, please. The first one, I guess, on Supreme. If we can come back. I know you touched on this, but if we can come back really on the rationale behind the acquisition, how this will fit your portfolio? And also whether we should be thinking that now maybe brands could be a potential acquisition targets going forward. And simply also, if you were looking to get exposure to the brand and to the younger consumer through this brand, why not considering an annualized license instead of the full acquisition of the brand? That’s my first question. And then on my second question on the innovation, the larger innovations that you’re presenting, first, the Stellest, I was wondering if you could touch on how the expansion into Europe is progressing so far? I know it’s very small, but any initial indication on Europe would be very helpful. And the second one Nuance, if you confirm about the Q4 launch in the U.S. and possibly where you are in terms of conversations with potential distributors how you’re thinking about the distribution of Nuance once it launches? Thank you very much.
Francesco Milleri: Thank you, Chiara. I try to answer to the Supreme rationale. Really, I’ve been very surprised for the reaction of the market that there is really the market, they didn’t understand immediately how was the purpose of this acquisition. And this – the purpose is really far behind the fact that they are an iconic brands that they are doing very well that they are profitable and so on, really is the strategic approach of our group that found a perfect brand that fits with our strategy. And so we had the chance to close the deal and really to plan the future together. First of all, we think Supreme as a communication platform, is really a direct channel to an audience that is very difficult to reach. And this communication channel has a real great reputation that maintained for more than 30 years, why not through license because license is a totally different matter. We depend on communication of marketing on product many times, from the brand’s creativity that is really giving us a direction and sometimes [indiscernible]. We believe that a good balance between our brand and licensed brand is what makes the company very, very healthy. So that is the rationale behind. It’s not so complex. It’s not a decision to enter in the – operate. Operate for us really is something that helped to communicate. It could be skateboard. It could be cycling and in the future, could be also other brands or product to bring technology in a natural way to the new audience. This is a few things at the success of, our Ray-Ban Meta, of course, the technology, especially of the second generation is amazing, the quality of the sound, the capability, the function are very, very strong and good, but what allowed us really to reach the real target, it was the brand. It was the popularity of Ray-Ban, the capability to be recognized from a large population, and that is the way we would like to approach in the future, bringing to brands all our innovation to the large public and to all new audience. Then I leave it to Paul to comment on Stellest.
Paul du Saillant: So Stellest myopia management, as we have explained often to you, we have a very systematic approach to establish this new management of myopia by, of course, continuing the expansion into China. What is not disable in the first half is that now we have the second technology platform, the one of SightGlass Vision, which is in the market and starting to address hundreds, thousands of children. So it’s really starting to be complementing the Stellest part. The second expansion is the geographical expansion into Europe that we are going to market with Stellest. The product is well established in France, in the UK and more and more and more countries in Europe. So that’s the second development. And all of that we do it, as we often explain, working with the doctor community, with the ophthalmologists, being very present in the big symposium, like we were at ARVO very recently. And third, we are preparing the North America, U.S. working with the FDA with the two technologies with the preferred status targeting 2025 for SightGlass Vision, early 2026 for Stellest. So that is really the road map, and we continue to see great acceptance for this technology by the parents, by the doctors and of course, by the children about on.
Francesco Milleri: About Nuance. So we have the – we expect the launch at the end of the year or at the beginning of the next. And the approach will be in-line with the strategy that our company always had in the past. Enough disruption in the market, partnership with everybody, this is why we are really discussing with all the operators in the audiological sector. And we believe that our product really will improve and enlarge the market for everybody, is really targeting 1.2 billion, and that is really big numbers of people that really cannot find a solution, or a solution acceptable to fix the problem. So they cannot – won’t use the traditional hearing aid for many reason. One, it could be a stigma or maybe the price or because they don’t fit for they need. So we launched a new generation of products that combine the two optical and audiological functionality, and I believe that we will be an help for the entire industry, it will be present in our store, but also in all the others, audiological stores of the – all the partners and players. First in U.S. then around the world.
Chiara Battistini: Thank you.
Operator: The next question comes from Oriana Cardani, Intesa Sanpaolo.
Oriana Cardani: Good evening. Thank you for taking my two questions. The first one regards the M&A policy. So can you quantify the contribution to revenues growth and EBIT margin impact expected for next year from the consolidation of the two acquisitions. And the second question is about GrandVision, can you give us the organic growth in the second quarter of GrandVision? Thank you.
Stefano Grassi: Good evening, Oriana, let me take your two questions. I mean the long-term guidance, if you remember, when it was shared, it implied an M&A contribution over the period ‘21, ‘26, up to 1% of our growth profile. Now of the two acquisitions that we disclosed, the Supreme figures are public. So you see revenue in excess of €500 million. The other one hasn’t been disclosed, but I can tell you it’s smaller in terms of materiality. And this is really the thing. With respect to profitability, as Francesco said before, the EBIT margin of Supreme is being disclosed by VF when they filed the 8-K to the SEC. And you can see a very rich and healthy EBIT margin in excess of 20%. The second question you have is with respect to GrandVision organic growth. I think it’s on a healthy pace of GrandVision, double digit that you’ve seen during the course of the second quarter. It’s healthy because it’s widespread across all the different countries. It’s healthy because it comes on top of another year 2023, where we are trending very close to double-digit once again. And it’s healthy because it’s been a major driver of our top line and margin expansion. So we are very pleased with the trajectory that the GrandVision team has been delivering in Europe.
Operator: Our following question come from Louise Singlehurst, Goldman Sachs.
Louise Singlehurst: Hi, good evening to all. Francesco, Paul, Stefano and Giorgio, thanks for taking my questions. I wondered if I could ask two related to the U.S., please. Firstly, on the U.S. and particularly the DTC backdrop, can you give us any view about the performance during the period. Any flavor that you might be able to share on the exit rate going into July and particularly at consumer behavior, any sensitivity that you’re seeing to price relative to Q1. And then secondly, for the U.S., can you give us any flavor on the margin, specifically on how you’re managing the drag from the low growth environment. I’m just trying to understand if there’s a tight rein on costs currently and whether as the growth starts to recover, whether we’ll start to see a nice operational leverage coming through or whether the cost comes back into the business? Thank you.
Stefano Grassi: Good evening. Good afternoon, Louise, I’ll take both of your questions. So with respect to the Direct to Consumer performance, as we commented already, we have a two-sided story, right? We have a solid growth in our optical retail banners, LensCrafters, Target Optical, Pearle Vision. And we are pretty pleased with that because we see it consistently. It proved once again the resilience, as I said before, of our optical business model in North America. It’s nicely coupled with the performance that we’ve seen also on Vision Source on the independent side. When we look at the exit rate, I would say, no major change in the month of July for Optical retail banner. For the some part of the business, it’s quite a few quarters that we continue to experience I would say, a soft demand in sun. We haven’t seen a material change in the trajectory either in the second quarter or in the early start of the third quarter. But again, we are just 3 weeks into Q3. So obviously, we’re going to have to wait and see if there is any evolution. I think at a certain point in time, we will see a rebound of some demand in North America. The other question you had was related to margin. And specifically, margin dynamic in North America in an environment of low single-digit growth, as you rightly pointed out. What I would say – there are probably two dynamics. We’re pretty pleased with the Professional Solutions margin dynamic that we see there. The growth that we have on some of the channels that we have with B2B. It’s driven by a pretty solid price mix and that helps the profitability. But on the retail side, we probably feel a bit more the headwinds deriving from the inflationary trend, especially on labor due to the intensity of labor into our profitability.
Operator: The next question comes from Veronika Dubajova, Citi.
Veronika Dubajova: Hi, good evening. Francesco, Paul, Stefano and Giorgio. Thank you so much for taking my questions. I will also keep it to two. If I can just follow-up, Stefano, on the sort of drivers of the gross margin expansion across the group. Obviously, really impressive performance given that the U.S. was the weakest growing region. So I was hoping you could maybe elaborate on what were the big levers that you had? Was it the improvement at GrandVision? Was it just product mix across the broader business, not just specifically within the U.S., if you can just give us a little bit of insight into what’s driven that fairly impressive gross margin performance while your single highest gross margin region is growing the least. So that was my first question. And then my second question is a question on the Meta partnership and how you guys are thinking about potentially sharing the technology that you have developed with, Ray-Ban Meta, with other players in the tech market versus keeping it exclusively for Meta, and sort of what would be the trade-off that you would need to see to choose one versus the other if you can talk through your thinking process on that? Thank you guys so much.
Stefano Grassi: Hi, Veronika. Good evening. I’m glad you asked the question on gross margin because I think it’s been a while since last time we saw gross margin expanding. There are really a couple of dynamics underneath that gross margin expansion for the group. You have on one side, the expansion driven by price mix. And I would probably mention both as equally important in this case. It’s mix, in particular on lenses, and we’ve seen the good performance, the good traction that we are getting on the product innovation like Varilux XR. On the launch of Transition Gen S, that right now is still launched on a limited number of countries. And obviously, on the other side, there is the price effect. We have been very open to announce price increase on a single-digit territory, which is bringing obviously an additional lift in our overall price-mix dynamic. On the other side, GrandVision is an important driver of the gross margin expansion. The improvement and further penetration of EssilorLuxottica lenses within the GrandVision assortment, it’s progressively at a fast pace, respecting the existing lens supply agreements, but we are clearly very pleased with that. And I would say that this margin expansion comes despite the deceleration on the negative territory of Sunglass Hut in North America, which as you all know, it’s a business that is highly profitable. And clearly, when you see that deceleration, we have been able to largely offset that expanding over March.
Francesco Milleri: I will try to comment a little bit on Ray-Ban Meta and potential partnership with other competitors. First, our relationship with Meta is really strong. We invested a lot together in terms of professional capability, planned CapEx, and we spend a lot of time together really to design the strategy for the future, starting from the strong relationship with Mark Zuckerberg and the top managers of Meta. So, for us, this is something so relevant and important that has been preserved, and we won’t preserve for a long-term. And if you read the story of our partnership also with the license, you see that they last more than 10 years, 20 years. And really, when we find the right approach, we try to remain consistent for a long-term. The products that they are coming out are very good. They are – we see the continuous improving on the functionality and the quality. So, we believe that, that partnership with Meta, it will last for a very long-term. At the same time, we have a conversation, that doesn’t mean a partnership, with the competitors because with most of them, we have a commercial agreement. We are customers with all the other players. We don’t want to comment for the future. We – no one can really understand what will happen in 5 years, 10 years. But so far, we are very happy with the partnership with Meta, and we would like to really concentrate our capability and our investment on that kind of relationship.
Operator: The next question comes from Domenico Ghilotti, Equita.
Domenico Ghilotti: Good afternoon. A couple of questions, the first is a follow-up on the gross margin improvement. I would like to understand where are we in the progress because you were mentioning some drivers from JV integration to the price hikes that will not stop, say, in the first semester. So, I am trying to understand where are you in the progression on these drivers? And the second is on the strategic investments that you were mentioning as a headwind on profitability. Could you give us a sense of what should we expect? So, we should expect a pickup on this impact or is it something that will remain stable for the long-term because you have so many new projects? Thank you.
Stefano Grassi: So, I will take both of your questions here. Gross margin, let’s not forget that when we shared the long-term outlook, ‘21, ‘26, we said that we have an expectation of gross margin broadly flat over time. So, I think we have seen semesters on which our gross margin was slightly dilutive. And now we are seeing gross margin moving on the positive side. But again, I am not materially different from where I was when I share the original guidance. Clearly, now we are benefiting from the price and mix effect combined. We are getting the benefit of GrandVision. I would say the impact of those will not be annualized yet for second semester. So, you can realistically think that this might continue also during the second half of this year. Well, so the second question related to strategic investment. Well, the dynamic, it’s moving in what we probably discussed quite a few times in the past, right. For ‘24, we were expecting the inflationary headwinds to fade out. And we see second half – first half of this year, inflationary headwinds are pre-aligned with the second half of last year. While we would expect a big gap on strategic investments, they might go slightly up during the second half of the year. We have quite a few strategic important initiatives. Obviously, the most evident one will be the launch of Nuance at the end of the year, as reminded by Francesco. So – but overall, I think the trajectory that we are getting of a stronger margin expansion that – you remember, we shared at the beginning of the year, it’s still our commitment for 2024.
Operator: The next question comes from Grace Smalley, Morgan Stanley.
Grace Smalley: Hi. Good evening. Thank you for taking my questions. My first one would just be, I have seen that you have reiterated the 2026 targets. Just given all the significant revenue opportunities that you have outlined across different pillars, like how do you think about the importance of the components of those targets, i.e., is there a scenario where you would be willing to sacrifice margins for higher growth as you invest behind those growth opportunities that you have outlined, or how do you think about balancing the top line growth opportunity and the margins and whether the mix of those targets could change over time? And then my second question would just be following the price increases that you have implemented during the quarter, could you just update us on what you have seen in terms of customer reaction to those price increases given we are hearing some signs of a price-sensitive consumer in some places. Thank you very much.
Stefano Grassi: Good evening Grace. So, let me take both of your questions. Target 2026, we are fully committed to our 2026 target here. Then clearly, few things changed since the time we share those long-term targets. Here, I don’t think it’s a matter of sacrificing margin for growth or the other way around. I think if you look at the trajectory of EssilorLuxottica, we are looking at, I think eight consecutive semesters of margin expansion at constant currency. And during those semesters, we have always been growing. So, for us, it’s not a matter of sacrifice one for the other. And I think we are fairly committed and dedicated to get where we need to be. Then clearly, we have two important assets that are coming together. One, the two acquisitions that were disclosed before by Francesco and Paul. And those will close very likely at the end of this year. Secondly, the launch of Nuance, the hearing aids. Those are important assets for us, which we believe will generate important revenue and profitability streams for the future. So, we will obviously take a closer look, crystalize our view for both those two important areas. And eventually if, and I want to underline if there is a need to revise our targets, we will eventually come back with you at the end of next year – at the beginning of next year. You have the second question on price increase. I think the price hasn’t been materially increased from us for a long time. We decided to take an approach that was very much driving mix through the innovation, conscious of the challenges that some of our clients were going due to inflationary headwinds that they have to live every day on labor and other material increase. And we purposely decide to keep our pricing profile very low in many different product categories. This year, for the first time, we took those price adjustments, which again I remind you all are in the single-digit territory. And I think customer well understood the strategy and the decision to take those price adjustments throughout their product category.
Operator: The next question comes from Luca Solca, Bernstein.
Luca Solca: Yes. Good afternoon and thank you for taking my questions. Capitalizing and leveraging on what Francesco just said and the partnership with Meta being a partnership for the long-term, I guess that we need to discount what was reported by some media outlets that Google could be interested in a similar partnership. You had a partnership with Google in the past, clearly, when you entered the smart glasses initially. But I take that – I don’t work with Meta, or you work with Google, but please correct me if I am wrong. And then maybe as a follow-up to that, that there were also media reports about Meta being interested in taking a stake at EssilorLuxottica. I wonder if you could say anything about that and how this could potentially work.
Francesco Milleri: Good evening Luca. On the Meta partnership, we really, we are convinced that it is the right one. We are very consistent and we saw good results, improving, increasing sales. So, we don’t see any reason why we have to change. At the same time, we are very proud that we see that interest coming from Google, but also from other big tech for our company to start partnership or to understand if we can share our capability, not only I would like to underline, not only because we are very good to design beautiful eyewear and frame, but also because really, we show that we can really bring into the market, the innovation in the right way. So, we are – here, we listen to everybody, but I repeat, partnership, we are so happy with the partnership with Meta, that so far is our main target and commitment. About Meta taking a stake in ESL, we are informed of this kind of intention. We welcome everybody, any investors in our company. Also in this case, we are proud that the company that know us very well now after years of partnership is convinced that our company, our group can grow and make much better in the future. And this is also the way that the partnership can be reinforced. We don’t see any risk about that, taking stake in a company like us it doesn’t affect any kind of relationship. Relationships are based on common interest, common view, and really, they must have a solid economic behind to function. So, I believe that if they will go ahead with that, it will work, it will help, but it’s not really necessary to our partnership that is strong behind that. Thank you.
Operator: The next question come from James Grzinic, Jefferies. James Grzinic, Jefferies, please.
James Grzinic: Apologies about that, I was on mute. I am here now. Two quick ones, please, the first one, Francesco. Just to follow-up on what you just said. Would that mean that this is not about you issuing primary shares, new shares to Meta. First question is that one. And second question, on Nuance, can you perhaps help us understand the scale of the ambition at launch. How many doors do you see involved in the coming months and perhaps the split between wholesale and retail doors that would be really helpful. Thank you.
Francesco Milleri: Sorry. Hi James. We have not planned to capital increase dedicated to Meta. So, if Meta would like to become our shareholder, they will buy on market, that is our position at this moment. About Nuance, scale and ambition, we will be – we will go quite big, especially in U.S. because all the tests that we performed with customers really had so wonderful result and also the presentation that we had in the U.S. in many exhibitions. It was so good. So, we would like really to start in the right way with presence in almost all the counters [ph] in U.S. And the split between retail and wholesale, I would say our balance user is 50-50. But in this case, I believe that wholesale can really be bigger than our direct selling. Then we have also to understand the impact of the e-com on that product. You know that it will be an OTC device. So, a quite good ambition at the launch and doors, we cannot really now have the defined idea, but in terms of 1,000 stores at this – if not at the launch at least in the first semester of the next year.
Operator: And our last question comes from Cedric Lecasble, Stifel.
Cedric Lecasble: Yes. Thank you. Cedric Lecasble, Stifel. I have two follow-ups. One, which is more a projection given all your strategic initiatives. If we think 5 years from now, what would be, in your view, the largest or most promising area between Ray-Ban Meta, Stellest, Nuance. Between the three, what idea of the ranking in terms of sales and profit potential should we have today if you have an idea and you must have one? The last question is on Heidelberg. How will you integrate this company? Where will it be placed? What are the teams that will work on this project? Is this R&D? Is this some operational things? Could you maybe elaborate a tiny bit on this new business? Thank you.
Francesco Milleri: Hi Cedric. Strategic initiative and what will be most important. Fortunately, we don’t have to really choose one. All three belong to us. We are really betting big on Stellest for certain reasons because it’s the first treatment. It’s the first time that we move to correction to treatment of pathology. And for us is so important and is growing so well that we believe it will become a great asset. Nuance is a totally new approach of the market. So, now we have a very big expectation that can be very relevant in our revenues and balance sheet, but it’s too early really to define how big it will be. Meta, the trajectory is already clear. We sold, at the launch of the new product, almost the same amount of pieces that we sold in the previous 2 years with the first release. So, the trajection is very, very clear. It will increase. And I believe in 5 years is difficult to say, but wearable as a category, it will represent really one of the biggest part of our revenues and the most profitable. Now, Paul.
Paul du Saillant: Great, Cedric, that you asked a question on Heidelberg engineering because it is, as you have seen, a very strategic move totally current with the med tech orientation of the company. And I want to identify a very simple idea. It’s complementary to some of the capability that we have in EssilorLuxottica in the instrument part already. So, first, the great news is that it is a complement of the offering for the diagnostic part. Second, it’s not an immediate idea that you find a company with a great reputation, with a great brand that is established in this field with great scientific depth and expertise, that has been a long-term company with a family behind it, people very dedicated to this technology. So, we were extremely fortunate that we could open the discussion and come up with the idea that we would take 80% of ownership in the company. And it’s quite important that it means that there is 20% remaining with the founders to combine the transition of Heidelberg Engineering into building together this full platform of instruments, diagnostic software solutions, leveraging AI. So, to your question, we are going to first really discover ourselves better and better. We are going to certainly deepen into the R&D capability into building together the full integrated offer for doctors, for ophthalmologists and combine this vision care ambition that we have for the company to go deeper towards clinics, hospital, doctors, ophthalmologists. And it’s very, very current and complementary to what we have already in the house. So, it will be a progressive integration and finding the right synergies, but we are really, really pleased that we could announce this acquisition at the same time.
Francesco Milleri: Thank you for your attention, as usual, and I wish you that you can have a good holiday vacation and some break, and we see you in the next quarter. Thank you very much. Bye.